Operator: Thank you for standing by, and welcome to the National Vision's Third Quarter 2022 Earnings Conference Call. [Operator Instructions] As a reminder, today's conference call is being recorded. I would now like to turn the conference over your host, Mr. David Mann, Senior Vice President of Investor Relations. Please go ahead, sir.
David Mann: Thank you, and good morning, everyone. Welcome to National Vision's Third Quarter 2022 Earnings Call. Joining me on the call today are Reade Fahs, CEO; Patrick Moore, Chief Operating and Financial Officer; and Melissa Rasmussen, CFO-elect. Our earnings release issued this morning and the presentation, which will be referenced during the call, are both available on the Investors section of our website, nationalvision.com, and a replay of the audio webcast will be archived on the Investors page after the call. Before we begin, let me remind you that our earnings materials in today's presentation include forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. These statements are subject to risks and uncertainties that could cause actual results to differ materially from our expectations and projections. These risks and uncertainties include, but are not limited to, the factors identified in the release and our filings with the Securities and Exchange Commission. The release in today's presentation also includes certain non-GAAP measures. Reconciliation of these measures is included in our release and the supplemental presentation. We also would like to draw your attention to Slide 2 in today's presentation for additional information about forward-looking statements and non-GAAP measures. As a reminder, National Vision provides investor presentations and supplemental materials for investor reference on the Investors section of our website. Now, let me turn the call over to Reade.
Reade Fahs: Thank you, David. Good morning, everyone. Thank you all for joining us today. Let's start with Slide 4 and a summary of Q3. For the third quarter, net revenue decreased 3.6% and adjusted comparable store sales declined 8.1% compared to the third quarter of 2021. We delivered adjusted diluted EPS of $0.15 for the quarter. Our third quarter performance was impacted by the continued weaker consumer environment as well as constraints on our exam capacity. The macro headwinds, including higher inflation, weaker consumer confidence and risks of recession are pressuring our lower income predominantly uninsured customers. But at the same time, we saw a broadening in our customer base and an acceleration in trade down of higher-income customers into our stores. In terms of constraints to our exam capacity, we're making sequential progress through improved retention, strong hiring and remote medicine. While our exam capacity remains out of sync with our needs in certain markets, which, of course, affects patient traffic, we expect exam capacity to gradually improve into 2023 and throughout next year. As we address these challenges, we're also focused on our growth initiatives. We opened 18 stores, including a record 7 Eyeglass World locations and we are currently enabled with remote medicine in approximately 300 stores, which is 2 months ahead of our year-end target. Also, as shared in August, we signed a multiyear extension of our current lens purchasing agreement with EssilorLuxottica. We're proud to have released our 2021 sustainability report last week, providing more in-depth disclosure of the progress we're making on our ESG journey. Finally, in today's release, we reaffirmed our 2022 outlook for revenues and profitability. In a few minutes, Patrick and Melissa will provide more detail on our Q3 results and our 2022 outlook. Turning to Slide 5. As the chart shows, before the pandemic, our business demonstrated quite consistent performance over time, even amidst broader economic challenges. The historical consistency of the optical category has been impacted by macro headwinds, especially higher inflation and temporary disruption to the purchase cycle that began with the start of the pandemic and has been exacerbated by the multiple waves of COVID variants. The chart on Slide 6 highlights the volatile quarterly comp performance over the last 2 years and the purchase cycle disruption caused by the pandemic. The optical category has been inherently consistent over time due to the biology of the eye and we believe we will see a return to more stable and predictable environment in the future. In terms of third quarter trends, optical consumer demand continues to be impacted by inflationary pressures and weaker consumer confidence. This weaker demand is also being felt more broadly in the industry. During the quarter, our back-to-school season was better than last year as we experienced more engagement with traditional younger school-age patients. Although we were not back to historical pre-COVID seasonal levels, we were encouraged by this movement to a more normal purchase cycle and seasonality. At the same time, we experienced weakness in broader seasonal traffic due to the macro environment and constraints to exam capacity. Near the end of the quarter, Hurricane Ian impacted our store operations in Florida. Of course, the greater concern was with the well-being of our associates and optometrists, their families and everyone affected by this natural disaster. Our hearts go out to the people whose lives were so disrupted by the storm. We work closely with our internal store teams to help associates, optometrists and customers in need. At Ian's peak, we had over 100 temporary store closings and 1 store still remains closed due to damage. We estimate the revenue impact was approximately $2 million or a comp impact of approximately 40 basis points with a disproportionate effect Eyeglass World due to its concentration of stores in Florida. We would expect to recover these sales in Q4 and into 2023. Let me expand a little more on what we're seeing in terms of consumer behavior. Our lower income, predominantly uninsured consumers are feeling the greatest pressure. Demand softness is noticeably more pronounced for these customers who are paying out of pocket for our products and services, as our insured business continues to comp positively this quarter. In Q3, we also experienced an acceleration of the trade down of higher-income consumers into our stores that began in the first half of 2022, what we have referred to in the past as nicer cars in the parking lot. We're encouraged by this trade down acceleration and would expect it to build further over time as that is what happened during the last recession. In the current inflationary environment, we believe our value offering should be ever more appealing to an ever larger slice of the American public. Our business continues to face constraints on exam capacity in certain markets. In other words, demand for exam appointments in some stores goes unfulfilled due to the lack of an available optometrist. Our team is making incremental progress on key initiatives to expand our exam capacity. First, retention levels remain up versus last year. This is a testament to our multiple initiatives to drive retention. In terms of hiring, our increased investments in recruiting continued to pay off. Year-to-date, we've experienced strong hiring of optometrists. During Q3, we saw the arrival of the wave of new hires that began to practice in our stores. Lastly, we remain excited about the progress of our remote medicine rollout. As noted in today's earnings release, remote medicine is currently enabled in approximately 300 stores, thereby achieving our year-end target ahead of schedule. With the rollout of remote medicine and electronic health records at our stores, associates and optometrists learn new operating processes, which come with a learning curve. In stores that have performed remote exams for the longest period, we're continuing to see a significant ramp in operating productivity. We are pleased with the incremental increase in exam capacity being added by remote medicine and the role it can play in serving more patients across both geography and time. Because of these initiatives, we expect that our exam capacity should gradually improve going into 2023 and throughout next year. So we're in an unusual situation today, in that, we are simultaneously facing both demand headwinds across our network of stores given the current macro environment as well as a supply challenge in a subgroup of stores due to the constraints up on exam capacity, but we see these as temporary and we remain confident in the long-term strength of our business model. Shifting to Slide 7. We continue to progress our core growth initiatives. In terms of store expansion, we continue to see a sizable white space opportunity with growth for many years to come. We had 18 openings in the third quarter, including a record 7 Eyeglass World locations as we ramp up the expansion of this brand. We expect to open at least 80 stores in 2022 and currently have a solid pipeline of specific locations into 2023. Our real estate team has done a fantastic job navigating the growing supply chain challenges. Marketing continues to be a key factor in driving traffic to our stores, given the infrequent purchase cycle for eyeglasses. In the current environment of high inflation, we believe budget-conscious and trade-down consumers are finding us attracted by our value messaging and positive word of mouth. We continue to focus on marketing efficiency and are pleased to be leveraging marketing expenses this year. Our participation in vision insurance programs continues to be a positive revenue driver, especially in the current environment. In the third quarter, we experienced growth in sales tied to vision insurance as insured consumers because the insurance funds most or all of their purchases are not deterred from shopping in a tight economy. Our comps related to managed care were positive and continued to outperform comps for uninsured consumer. We remain underdeveloped relative to the category and continue to see an ongoing opportunity here as managed care dollars and co-pays tend to go further in our stores than elsewhere. At this point, let me turn the call over to Patrick for a more detailed discussion of our financial results and the 2022 outlook.
Patrick Moore: Thank you, Reade, and good morning, everyone. Let's start on Slide 9 with third quarter financial details. In Q3, net revenue decreased 3.6% compared to 2021 due to macroeconomic headwinds and constraints to exam capacity. The timing of unearned revenue negatively impacted revenue growth by 0.4%. During the quarter, we opened 11 new America's Best stores and 7 Eyeglass World stores for a 5.5% increase in store count. For our America's Best and Eyeglass World growth brands combined, unit growth increased 7.4% over the last year. Adjusted comparable store sales declined 8.1% versus 2021. As Reade noted, we estimate that Hurricane Ian impacted our Q3 comps by approximately 40 basis points. Q3 comparable store sales were impacted by a decline in customer transactions. Average ticket was flat year-over-year. We're pleased that our average ticket has stabilized this year, helped by pricing actions and successful product enhancements like Blue Light. Turning to Slide 10. As a percentage of net revenue, cost applicable to revenue increased 209 basis points or better than our expectations of a 400 to 425 basis point increase. This increase was driven by deleveraging of optometrist-related costs, reduced eyeglass mix and lower eyeglass margin. The better-than-expected performance primarily resulted from the stable average ticket. Adjusted SG&A increased 3.9% and adjusted SG&A expense percent of net revenue increased 320 basis points. Our store and marketing teams continue to execute disciplined cost management this quarter. The key factors behind this increase was the deleverage of store payroll, corporate overhead and occupancy expense, partially offset by lower advertising investment. We continue to expect advertising to be slightly leveraged in 2022. Adjusted operating income decreased 61% to $21.5 million and adjusted diluted EPS decreased 60% to $0.15. Turning to the year-to-date 2022 results on Slide 11. Compared to 2019, despite the challenges this year, net revenue increased by approximately 16%. Adjusted diluted EPS increased nearly 5%. At this point, I'll turn the call over to Melissa to discuss our financial position.
Melissa Rasmussen: Thank you, Patrick, and good morning, everyone. Turning to Slide 12. As I transition into the CFO role at year-end, I am inheriting a strong balance sheet and excellent liquidity to support our growth strategy. We are in this enviable position as a result of Patrick's stewardship over the last 8 years, and I plan to continue executing the long-term financial strategy that we have developed. At the end of third quarter, our cash balance exceeded $256 million with total liquidity of nearly $550 million when including available capacity from our revolver. We ended the quarter with total debt of $568 million. Net debt to adjusted EBITDA was 1.5x. I want to take a moment and highlight one item related to our term loans debt and the hedging that we have in place. In the first quarter of 2020, we hedged our term loan debt using an interest rate collar. While the term loan has a variable LIBOR-based interest rate, this debt is more than fully hedged by the interest rate caller due to voluntary term loan prepayments made in 2020 and 2021. As a result, when our LIBOR rate passed 1.8% in late July, we began to receive payments from our counterparty, which totaled $400,000 this quarter. Based on the current rate outlook, we expect to continue to receive counterparty payments in the fourth quarter. These payments are helpful to our net interest expense and cash flows are incorporated in our lower interest expense outlook provided today. Year-to-date, we funded $86 million in capital expenditures that were primarily focused on new store and customer-facing technology investments. We remain on track for 2022 CapEx in the range of $110 million to $115 million as we continue to invest in key growth initiatives, including our remote medicine rollout. We did not repurchase any shares of common stock in this quarter and have $50 million remaining under our current share repurchase authorization. At the end of third quarter, inventory per store declined more than 7% on a year-over-year basis. Our inventory levels are in good shape, and we are comfortable with the ability to support our growth plans. Our merchandising and distribution teams continue to execute well to help us manage through the current challenging supply chain environment. Overall, in this environment, we believe that our financial strength and our commitment to invest in our business remain a competitive advantage. Let me turn the call back over to Patrick for a discussion of our outlook.
Patrick Moore: Thanks, Melissa. Turning now to Slides 13 and 14. I'll conclude with some commentary regarding our 2022 outlook, which we included in today's earnings release. As we all know, the dynamic operating and macro environments remain extremely uncertain, our fiscal 2022 outlook reflects the currently expected impacts related to macroeconomic factors, including inflation, geopolitical instability and risk of recession as well as the ongoing COVID-19 pandemic and constraints on exam capacity. Given the uncertain environment and continued forecasting challenges, we are maintaining a more conservative posture for our outlook. Against the backdrop of what we know today, we are reaffirming our 2022 outlook as follows: Net revenue in the range of $1.99 billion to $2.02 billion, representing adjusted comparable store sales growth in the range of negative 6.5% to negative 8% with at least 80 store openings. Adjusted operating income between $85 million and $100 million and adjusted diluted EPS between $0.65 and $0.77, assuming 80.1 million weighted average diluted shares. Even amidst a difficult macro backdrop, we are continuing to invest in the business and key initiatives and our store growth and capital expenditure plans remain unchanged. Our ongoing commitment to investment is further evidence of our confidence in the future of our business. Let me provide some underlying assumptions in our outlook. As you model the fourth quarter, we continue to expect comps to be in the negative low to mid-single-digit range. In terms of profitability, we would look for fourth quarter adjusted operating income to be slightly negative. We expect Q4 profitability to be impacted by expense deleverage during our seasonally low period as well as 2 additional factors. First, we now expect that the timing of unearned revenue will have a negative impact in 2022 of about $10 million to $11 million, a slight increase from our previous estimate, with the impact to be realized in Q4. As a reminder, unearned revenue recognition is a 7- to 10-day timing impact only that can affect our quarter-to-quarter and annual comparisons. Second, we elected to make an incremental $2 million wage investment for retention bonuses primarily for district managers and store managers. For full year 2022, as a percentage of net revenue, we now expect cost applicable to revenue to increase approximately 290 to 300 basis points versus last year, primarily due to the deleveraging of fixed costs as well as lapping last year's record performance that benefited from product mix shifts and an elevated ticket. For Q4, costs applicable to revenue are expected to increase about 300 to 325 basis points versus last year or similar to the trend experienced during the third quarter. In terms of expenses, we expect 2022 adjusted SG&A to increase approximately 195 to 205 basis points as a percentage of net revenue year-over-year. The SG&A increase primarily reflects sales deleveraging and to a lesser extent, higher levels of wage investments with a partial offset from advertising leverage. To assist with modeling, we have also provided updated assumptions for depreciation, amortization and interest. The lower net interest expense assumption reflects the positive benefit in the current higher rate environment from our hedges and interest income on cash balances that Melissa highlighted. In summary, while there are significant challenges in the current environment, I have every confidence in the underlying health of our business and our value proposition. Our company has experience with successfully weathering difficult market conditions, and we continue to view the current issues as temporary. In the interim, our management team is focused on what we can control continuing to invest in key growth initiatives and taking the necessary actions now to emerge from the pandemic era stronger than ever. On a personal note, I'll be transitioning full time to Chief Operating Officer in the next couple of months after 8 years as CFO. As COO, I'm looking forward to continuing to help the company achieve our long-term mission and execute our strategic plan. I could not be more confident in handing off the CFO role to Melissa, as she is an outstanding leader, trusted colleague and talented financial executive. And with that, I'll turn the call back to Reade for closing remarks.
Reade Fahs: Thank you, Patrick and Melissa. Turning to Slide 15 and our Moment of Mission. We are proud to have recently published National Vision's 2021 Sustainability Report, guided by our ESG strategic framework, this detailed report covers our impact on society and highlights the progress of our efforts across environmental, social and governance activities. The report shares many impressive data points as well as some of our goals for the future. For example, we had a fivefold increase in our annual impact for philanthropic activities, and we shared our intention to impact at least 5 million people through our philanthropic efforts in the next 5 years. For full details on our activities, you can access the report via the link in the presentation or on the corporate responsibility page of the National Vision website. I'm also pleased to note that our ESG programs and disclosures are being acknowledged by key stakeholders and ESG radar. Following our first corporate responsibility report last year, our MSCI ESG rating was recently increased to AA from BBB. National Vision is now considered a leader in our industry sector. I want to thank our entire team at National Vision and network of optometrists who provide much-needed medical services to patients at over 1,300 storefronts every day and to the ecosystem of the philanthropic partners we work with, including VisionSpring, RestoringVision and the International Agency for the Prevention of Blindness. In summary, the key takeaways from today's calls are these: after 18 years of consistency and predictability, the pandemic era has temporarily made the optical market [Technical Difficulty] our business more volatile. We believe that the marketplace over time should return to trends more consistent with the pre-COVID era, especially as our customers' eyes only continue to get worse with time as we remain a low-cost provider of this medical necessity. We operate in a highly fragmented industry with ongoing structural tailwinds, such as an aging population and increased eye strain from such things as greater screen usage, and we believe that several initiatives, including our remote medicine rollout should help us to get our exam capacity more in line with the demand that there is for exams at our stores. Thus, despite the current challenges, our confidence in our mid- and longer-term prospects remain unchanged. This concludes our prepared remarks. And at this time, I'd like to turn the call back to the operator to start our Q&A session.
Operator: [Operator Instructions] Our first question comes from Zack Fadem of Wells Fargo.
Zack Fadem: So first question for me is on your structural margin profile. As going back to 2019, this was a mid- to high single-digit operating margin business that accelerated to nearly 10% in 2021. So as we look at sub 5% margins today, could you walk us through the puts and takes around where the business should ultimately land as your sales levels normalize in 2023 in the years ahead?
Patrick Moore: Sure. I'll start with -- we do a lot of margin comparisons back to 2019, found that that's the last most consistent year. And as you fast forward up to 2022, there's just a lot of distortion in us being kind of off our original sales plan by a couple of hundred million and turning in comps and the negative 7%, negative 8% range on the year for our guide. And so I don't consider this year a great year to do the margin analysis because you are going to see some deleveraging. But yes, you are right, we're aiming towards a 4.5% to 5% operating margin this year that was 6.6%, 7.8%, 9.8% over those few years with the 9.8% high watermark being reached due to just incredible demand and a really elevated average ticket. If I kind of go back and think, what really changed, okay? As we just think about margins since that time, gross margins have really held up nicely. I mean we've had some cost pressures there with investments and wages for optometrists. We've had some pressures there a little bit for cost of sale, a little bit for rate, and none of those have been huge, and we've managed them well and it's been offset with, number one, productivity increase in our labs every year, and second, some of the pricing. So as I look at gross margin, it's been fairly stable. SG&A is more deleveraged. If I were to give you kind of a normalized version of where SG&A margins moved structurally, I would say, a little wage inflation for associates, which I think we've managed pretty well; a slight deleveraging of advertising, but we are going to leverage this year even amid that $200 million miss; and then from there, rents are up a little. Some of the areas where we have seen the most cost increase and deleverage is, frankly, in our corporate headquarters, and that's really around key growth initiatives. And what we've decided there is to kind of accept the short-term deleverage, betting on the growth propulsion coming out of the capital that we're in now. That's been our remote medicine initiative, very significant, Reade mentioned it. We've already hit our 300 stores. We'll be doing a lot more of those next year. That includes omnichannel initiatives, that includes kind of beefing up in areas around doctor recruiting and retention. So we have made some very definitive investments there and have held on to that cost again, being willing to take the short-term leverage to come out of that in better shape in the future. As I think about margins, again, it's tough to talk from a base of negative 7% comps. But as we move into a more kind of a normal future, I think, where disruption to purchase cycles is decreased, deferrals are less, I think we're going to see a similar gross margin story. Those same factors that I mentioned affecting us from 2019 to '22, will probably going to all still be there, both pro and con. And then below the line, we probably will see a little bit of wage inflation still, but I'm expecting that we're going to continue to leverage advertising. I think that we will eventually leverage corporate overhead. So I see us having a good chance to get back to the trajectory we were on as we move from '19 through '21, noting that '21 was really -- was a high watermark. But it also shows that the machine can do that. So as we kind of come out of the space that we're in, return to growth, it's really the same business with a few tweaks there for wages and rent. And so -- and I'm really happy with the decisions that we've made on hanging in there with those investments.
Reade Fahs: Yes. And then I'm just going to reinforce one thing, Zack. We are investing to emerge stronger because we are confident that historical cycles will return because that's how it works in our category for a decades. That's what happens with the human eye, and we're making those investments so that when things do normalize, we're coming out even stronger.
Zack Fadem: Got it. And just a couple of nitpicky follow-ups for you. First of all, I calculate per store inventory down 7%. So any color there on inflation versus units, in stock levels, and to what extent that was intentional would be helpful? And then second, could you walk through the hedging mechanics on the interest expense in a little bit more detail? And whether you expect this lower interest expense level to be a temporary Q3, Q4 phenomenon or a new run rate?
Melissa Rasmussen: Sure, Zack. This is Melissa. As far as the inventory per store goods, we are down 7% at our inventory levels. However, we are pleased with our efforts to mitigate the supply chain disruptions that have existed so far. And our merchandising and supply chain teams have done a great job at managing our inventory levels. We are confident in the level of inventory that we have to support our ongoing revenue and growth plans. So I think a 7% decrease is -- we're comfortable with that. Now related to the interest expense question that you had, we are in a position where we had a we had renegotiated our credit agreement. And with that, we entered a hedge for our LIBOR-based debt. That LIBOR-based debt, as soon as we cross the 1.8% threshold, we started receiving counterparty payments for that hedge that we have in place. So in the third quarter, we received about $400,000 of interest payments from our counterparty, and we continue to expect to receive that through fourth quarter. And as long as the interest rate stay where they are or continue to increase, we do expect to see a benefit on our interest expense line.
Operator: Our next question comes from the line of Anthony Chukumba from Loop Capital.
Anthony Chukumba: So in terms of the remote exam initiative, thanks for the update on that. At what point do you think that we start to see the benefits in the P&L? Because it certainly seems that particularly given the staffing issues that you're having right now that, that's a pretty compelling initiative. So at what point do we start to see that benefit?
Patrick Moore: Again, Anthony, it's Patrick. This year has been launched year #1. We have a project team. We have equipment installers. We're covering that cost. And I think that as we get beyond this first year where we've talked about a little dilution, we'll get to next year, and we'll see positive P&L impact from that. We've rolled it out to 300 stores. It's enabled there. As those stores need it, we can turn it off and turn it on. So as we're kind of working through our plans for 2023, we're certainly expecting P&L benefit next year. As we look at individual stores or markets or groupings of stores, as I think we said in the past, "Hey, look, we see really nice productivity impacts coming off those stores where they are -- they've got the equipment in. They've gotten accustomed to the change around it. Folks are trained and it's a way of life." In those stores, I think we've referred to double-digit productivity lifts in those older markets. And by the time we get to midyear next year, a lot of those will be older markets. So expecting to see good results out of that next year.
Anthony Chukumba: Got it. And then one tangentially related follow-up. What was the impetus for the, I guess, the $2 million retention bonus that you had mentioned in the fourth quarter?
Reade Fahs: Yes. So with sales down versus expectations for our store managers and field teams, they aren't getting the bonuses they've been used to, and we wanted to say to them, "Hey, we are going to -- we realize that this is a tough environment to work in, and we wanted to make up some of the loss to their compensation. We have traditionally had a heavy incentive compensation there." And we wanted to make sure that our team knew that they were appreciated and invest in them in the long haul. This is we're the game about retaining your account. And we are good at that and pleased with that, but we wanted to make sure people knew they were appreciated and recognized that there was a financial hit, and we want to make up a little bit of that. So a very cultural thing, in my opinion. It's about long-term orientation and keeping yourself surrounded by the community of talent that you've assembled.
Operator: Our next question comes from the line of Paul Lejuez. Our next question comes from the line of Brandon Cheatham of Citi.
Brandon Cheatham: Hey, everyone. Brandon on for Paul. So I was just wondering, could we kind of dig in a little bit on how consumer behavior has changed, especially around your uninsured customer. Do you get a sense of how much time they're extending between their last appointment and what is typical? I assume we get to a point where you just can't put off that eye exam any longer. I was just wondering if you have any kind of insights there.
Reade Fahs: Yes. So again, this is such a key point around our business. Our consumers are very budget conscious, many living paycheck-to-paycheck. These are the people most affected by the inflation that we're also so aware of. And as we like to reinforce our managed care customers for whom this is not as much their money because they've got insurance, we are comping positively amongst our managed care customers, but managed care is roughly 1/3 of our business. So for the nonmanaged care customers, it is a lot tighter on what we found in the last recession and we're seeing this now also is our lowest income customers have to drop out of the category. They stop going out to restaurants, they thought be viewed the necessities. They just don't have the cash to do it, but we've started to see trade down. Our internal phrase is nicer cars in the parking lot. And that is what happens typically in the dynamics of our business and many other businesses that service a budget-conscious Americans during tough economic times.
Brandon Cheatham: Got it. What is the percentage of insured customers now versus what's typical?
Reade Fahs: So what we said when we went public was that, that was about 5 years ago, we said 25% to 30% of our business came from insured customers. It has been growing at a faster rate. So we reference it as just over 1/3 of our customers.
Brandon Cheatham: Got it. Okay. And I was wondering if we could talk a little bit more about the remote medicine initiative. Just does that ultimately kind of solve the no-show problem. How many of your appointments now that customer ends up not showing up for the appointment? And where do you think that can ultimately like change your throughput from today to -- if you eventually have remote medicine in most of your doors?
Reade Fahs: Great question, great insight and great understanding because it is -- what's wonderful about this from an optometrist perspective is, when you're a remote doctor, there's never a no-show. You're covering all the stores in a state. And so when you're done with one exam, you just look up on the screen, and there's another one there to be had. So for a remote doctor, there's never a no-show. We believe that remote is something that many, many doctors are going to want to have as all or part of their practice. I mean just as we're all seeing in the labor force that a lot of people are saying, "Oh, I'll be in my office a few days live and I'll be home a few days. That seems to be" -- Americans are enjoying ever more flexibility than we ever would have imagined pretty pandemic and optometrists like that also. I do think there's this hybrid model of our practice some days live and some days remote will be very popular, although some doctors are saying, "No, I always want to be live and some that are saying they always want to be remote." But we are trying to be the place where optometrists want to spend their entire career, that's been our mantra for decades now. And part of that is this is a mode of practice that many doctors aren't going to want for at least part, if not all, of their practice, and we want to be there for them because we want to -- we -- the place where the more optometrist, the more demand we can serve.
Brandon Cheatham: Got it. I think I read a stat that it's like about 20% for the industry is no-show on the appointment. Would that be a fair assumption for you? Any quantification that you can provide there?
Reade Fahs: Yes. We don't share a number on that, but no-show rate for our live doctors is a factor that we monitor and keep track of. The other piece that relates to remote is, we have a lot of walk-ins. If they come in and say, "Can I have an exam today." And we're in -- from -- in the traditional way to hit it like you just hope that you have capacity where the person walk ins, because if they walk into a store without capacity, then we can't serve them, but with the remote option, we can -- we are more able to take walk-ins than we were because we're spreading the optometric resource across geography and time. So there's a remote doctor sitting there ready to take the walk-in exam most probably. And even if we don't have the -- even if the doctor in the store is totally booked up.
Operator: [Operator Instructions] Our next question comes from the line of Adrienne Yih of Barclays.
Adrienne Yih: Can you hear me?
Reade Fahs: Yes.
Adrienne Yih: Okay. Great. Sorry to interrupt. Okay. Reade, I guess my question is, we're comparing sort of the commentary from last quarter to this quarter. And last quarter, there were 3 kind of critical issues on the top line. Number one, the lack of optometrist capacity. It seemed like the core was shrinking because of what you just said. And the third is we hadn't seen the trade out. So now it feels like you're fixing #1. And I like to know like when they come on board, you just hired them, when do they get to that kind of full productivity it says like the core demand is still shrinking, but the third piece of it, you're getting the trade out. So help me with that kind of characterization if that's about correct? And then my follow-up is for Patrick and/or Melissa. Can you remind us like how many weeks of safety stuff do you have now outside of the inventory per store? How much will you run the business with kind of on a more 12-month basis? And how are you thinking about unit inventory as you anniversary kind of the spring where you were starting to build the safety thought?
Reade Fahs: Good. Okay. Let me take the first part of that. I'm going to start with the trade down piece. In our last call, I'm pretty sure what we said was we're seeing the gradual trade down, and we're seeing that more so now. So the richer nicer cars -- the richer people, nicer cars trading down to us. We said in the last call that we are seeing it emerge and now we're saying, yes, it's continuing to come through as we would have expected based on our historical recessionary experience. In terms of core demand, core demand in the optical industry is down, started around March and April, and it's down. It is across the board. As we referenced, if you have richer customers, if you have insured customers, you're a little better off, but the whole category is down and sort of went down in March and April and all indications and reference points reinforce that piece. So there is a demand issue, and we have the double whammy of -- there are places, there are stores where if we had more optometrist capacity, we would be able to serve more demand. But again, on the plus side, our retention of optometrist is higher than last year. Our recruiting has been strong year-to-date, and we believe remote medicine will help us even more so to create capacity, flexible capacity, that can help us as the historical cycle returns eventually. And then for the second part, Melissa, can you take the second part?
Melissa Rasmussen: Sure. Thank you. Regarding our inventory levels, we are happy with our inventory levels currently. They're down 2% year-over-year, and the inventory per store is down 7% and but we don't see our inventory levels as an issue as we continue to grow.
Reade Fahs: And kudos to our product team amidst supply chain issues you hear about in other places. I just love, we've got to such great experience in our product team. They planned ahead well, and this is the benefit of the sort of long-term partnerships with our supplier community that we've talked about since our IPO as being a real competitive advantage that we've been able to not have the supply chain disruptions and products that are affecting parts of our industry, but have not been impacting us, and they are definitely managing their inventory very intelligently.
Operator: Our next question comes from the line of Bob Drbul with Guggenheim Partners.
Bob Drbul: I was wondering if you could spend a little time on the legacy segment, how that's going? Some of the new stores and new formats that you're participating in with Walmart. If you could really give us an update on what you're seeing there and any plans going forward that would be great?
Reade Fahs: Sure. Well, Walmart, 2 is affected by the demand, the related industry efforts that I talked about. Before Walmart, we've got a 32-year relationship with Walmart, and it's a very strong relationship. And we -- back in 2020, we extended our contract again, which was, I think, the second or third consecutive contract renewal. They gave us a few stores late in 2020 that are doing great, and it's a great partnership. And I'd say that the trend is quite similar in that they are affected by the demand piece as is every other part. It's a great relationship. We cherish that relationship with Walmart, and we have had -- it's in a great position.
Operator: [Operator Instructions] Our next question comes from the line of Kate McShane of Goldman Sachs.
Kate McShane: I know you've mentioned that the overall industry is down. But we wondered if you have a sense of any market share that might be being lost just due to the exam capacity issue specific to National Vision?
Reade Fahs: We believe just despite the exam capacity issue, which is where we spend a lot of our time that we are holding our own from a market share perspective.
Kate McShane: Okay. And my follow-up is on the exam capacity. I think this was part of Adrienne's earlier question, but is there any way you can compare where you are today with exam capacity to where you were when you first started the issue in Q1? And is there any way to quantify the recruitment class and what you were able to recruit from this year's optometry graduates versus maybe the previous year?
Reade Fahs: We don't quantify this for competitive reasons. Our recruitment of new grads was very strong and very healthy and up versus prior year. And again, our retention rate of optometrists overall is higher than last year also. And yes, so we are expecting capacity to gradually improve into 2023 and throughout next year.
Operator: Our next question comes from the line of Simeon Gutman of Morgan Stanley.
Michael Kessler: This is Michael Kessler on for Simeon. First, I wanted to follow up on some of the prior questions on top line and the trends that you're seeing. I think you said on Q4 comp guidance, it looks like more improvement on both a 1-year and a 3-year basis. So I'm just wondering, I guess, what you're seeing quarter-to-date, are you seeing the trade down continuing, further accelerating anything on the low income side as well, if that's at all changing as we've seen some gyrations in the macro? And then I guess if you carry forward the run rate on the Q4, it looks like maybe next year, it could definitely flip back to positive comps. Is that fair? Is that kind of how you're just preliminarily thinking about the '23 outlook?
Reade Fahs: Good. In Q4, overall, I mean, we don't think the economy is going to turn around radically in Q4 in a way that will affect our consumers. Our comps are expected in the negative low- to mid-single digit range. Slightly easier Q4 comparison and better holiday calendar and up against some COVID. We had -- at the end of Q3, we had Hurricane Ian really whack us in Florida over 100 stores, and we'll get some of that back. And again, the fact that we've got many remote-enabled stores should be helped as well, as well as sort of the trade down.
Patrick Moore: And then just to add a couple of comments. On the 3-year stack in agreement, where our guidance suggests that's going to pop back up a bit in Q4. So we're with you there, Michael. We saw a little more depressed in Q3, a little -- not negative, but a smaller number coming off Q2. And we believe that was principally related to how the back-to-school seasons have fared across pandemic. We'll probably not discuss. We're not going to discuss guidance for next year today. The entire management team is focused on making 2023 as a greater a year as it can be, and we'll be talking about that in February.
Michael Kessler: Okay. Great. And I'm sorry if I missed this. I think you mentioned that the ticket being like relatively flat. Just any update on inflation and pricing and the backdrop and how you guys are approaching it?
Patrick Moore: We've been really pleased with how ticket has progressed for the last year. We saw the bottoming of the pandemic era impact to ticket. We saw that flatten in late November, early December last year. We've made a couple of pricing changes around the edge. We took the base offer in AB & EGW up. We have seen good results from all of that net-net and are happy with where ticket has evolved and is evolving. Coming off, if you go back to '19, I won't give the percentage, but that's one of those reasons that I mentioned that we've been able to overcome some of the headwinds in gross margin, and we've been really pleased with where that has trended.
Reade Fahs: And Mike, I'll just add one other thing to your question about our costs. We talked about in our last call that we have got a 3-year extension of our current lens contract with EssilorLuxottica, which sort of locks in pricing for several years. And so that's -- lenses are a key part about what we buy, then that's one of the costs that we can -- is very predictable.
Operator: Our next question comes from the line of Dylan Carden of William Blair. Our next question comes from the line of Michael Lasser of UBS.
Michael Lasser: Now that you've had some time to reflect and analyze what's happened this year? Why is it different than what has happened during prior downturn? National Vision has got a long history of being able to generate very attractive same-store sales growth throughout the course of the cycle. And now, obviously, this year has been much tougher, much tougher than the other publicly traded reporters. Perhaps there is some element to it that the low-income consumers under pressure -- low income consumers has been under pressure in the past, maybe there's some element of it with the capacity constraints, but capacity constraints that's ebbed and flowed for National Visions in the past. So why is it different? And how does that influence how you think about the performance of the business and the ability to maintain positive comps in the face of a weakening economic environment?
Reade Fahs: I will -- Michael, thanks for that. Nice to hear your voice. So a few things. The past -- the '08 '09 experience was a recession, this is a recession coupled with steep inflation, that is a little bit different. The other piece is just this disruptive purchase cycle from the crazy up and down of the pandemic era where we shut our stores and this or that. There was purchase cycle disruption there. But the newer piece has been since the pandemic, the market for optometrists has gotten a lot tighter, and so there's the OD capacity piece. Frankly, when I think of this as the most big picture level, I think that all of the challenges related to pandemic era pieces the capacity, the purchase cycle disruption, even the inflation, it's all bundled in with impacts relating to the pandemic.
Michael Lasser: And my follow-up question is, if the overall demand environment remains sluggish in the next year, the market for optometrists remain tight, such that it would put upward pressure on wages and in turn your cost structure, should the market be prepared for down margins next year in that scenario? And are there actions that you can take to preserve your profitability in the event that, that is the outcome for the business?
Patrick Moore: Well, we are going to stop short of providing specific guidance for 2023 today, Michael, as you would guess. I go back to the answer that I gave earlier. There has been some many twists and turns for margins across the pandemic. This year, the biggest twist was frankly just the degree of revenue that has -- that we did not get than we expected to at the beginning of the year. We remain in a posture that says we believe there will be demand recovery, and we are going to be very well positioned to take that demand recovery. We have not yet taken slashed cost. We have been very smart with costs that we felt like we could pull back on. It wouldn't damage our go-forward growth prospects, and we continue to evaluate that posture. I think we're in the right place on this. I think time is going to prove it out. So again, I can't give you specific guidance, but I do think that there's an opportunity here for us to see some more cover.
Operator: Our next question comes from the line of Brian [indiscernible] of Jefferies. Our final question comes from the line of Molly Baum of Bank of America.
Molly Baum: Most of them have been asked already, but I just wanted to get clarification on 2, so I can ask them quickly in sequence here. The first one, are you able to size the benefit to comps from price in the quarter? And the second one is just a clarification on the capacity constraints. So you mentioned that you're pleased with hiring retention levels. So are the exam capacity constraints are left to work through strictly a function of timing and ramping up of the new optometrists? Or is there more hiring that is needed? Or alternatively, is there an industry-wide shortage that presents as challenges?
Reade Fahs: Let me answer your second piece first. From the time we went public, we talked about that -- I think the phrase we used was, "We've never had enough optometrists," and you shouldn't expect us ever to say that. So that was a constant refrain from 2017. But there has been an industry-wide tightening on optometrist capacity as more optometrists retired. Some of them scaled back the number of days. So there is an industry piece there. And so we will always, as we have been for 20 years, prior be in a very focused on making sure the optometrist who are with us now love being with us and that we are ever better at recruiting new ones, both our school initiatives, our ongoing initiatives and now this remote initiative. So we are seeing gradual improvements on all fronts since the last year on this, and we expect gradual improvements to continue. But it's an ongoing part of being an optical retailing in America. And Patrick, do you want to handle that?
Patrick Moore: I'll turn back to the first question, Molly. We haven't disclosed what we think are the exact impact to comps on the quarter for the pricing increases. We do think that the stable higher-than-pre-pandemic average ticket is certainly aiding that. At the end of the day, we're providing great value and that's to both the middle and lower-income consumers, and now we're seeing a little more trade down from the higher income households as well. So all helping to stabilize that average ticket and keep it at a rather healthy level for us.
Reade Fahs: And we're all feeling real good about the decisions we've made earlier this year on this.
Operator: I'm showing no further questions at this time. I'd like to turn the call back over to Reade Fahs for any closing remarks.
Reade Fahs: Thank you very much, Valerie, and we'd like to thank all of you for joining us here today and to thank all of our stakeholders for your ongoing support, and we look forward to speaking to you again when we report our fourth quarter results. Thanks so much. Bye, bye.
Operator: Thank you. Ladies and gentlemen, this does conclude today's conference. Thank you all for participating. You may now disconnect. Have a great day.